Operator: Good morning, ladies and gentlemen. Welcome to the Ardmore Shipping Second Quarter 2014 Earnings Conference Call. Today's call is being recorded and an audio webcast and presentation are available in the Investor Relations section of the company's website, ardmoreshipping.com. We will conduct a question-and-answer session after opening remarks. Instructions will follow at that time. A replay of the conference call will be accessible anytime during next two weeks by dialing 1-719-457-2820 or 1-888-203-1112 and entering passcode 2951568. At this time, I will turn the call over to Anthony Gurnee, Chief Executive Officer of Ardmore Shipping.
Anthony Gurnee: Thank you very much. I would like to welcome everyone to Ardmore Shipping second quarter 2014 earnings call. First, let me ask our CFO, Paul Tivnan, to describe the format for the call and discuss forward-looking statements.
Paul Tivnan: Thanks, Tony and welcome everyone. Before we begin our conference call, I would like to direct all participants to our website at ardmoreshipping.com, where you will find a link to this morning's second quarter 2014 earnings release and presentation. Tony and I will take about 15 minutes to go through the presentation and then open up the call to questions. Turning to Slide 2, please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from those results projected from those forward-looking statements. Additional information concerning factors that would cause the actual results to differ materially from those in the forward-looking statements is contains in our second quarter 2014 earnings release which is available on our website. Now I will turn the call back over to Tony.
Anthony Gurnee: Thank you, Paul. On this call, we will highlight our second quarter financial and operational results, discuss corporate developments including acquisitions provide an update on the product and chemical markets. Then Paul will discuss our financial results and then I will recap and open up the call for questions. Turning first to the highlights slide on Page 5 of the presentation, we are very pleased with our progress in the quarter. Following our equity raise in March, we acquired three high quality MR product tankers, one 2013 built Eco-Design MR, and two 2008 built MRs, both of which are suitable for upgrade to Eco-Mod. We signed a $39 million credit facility with Credit Agricole, which please or debt financings for the new building program. This is our first loan transaction with Credit Agricole and we look forward to working with them on future financings. Last week, we signed an agreement to upsize our existing senior loan facility with ABN, SEB and Nordea by $53 million, which brings the facility up to a total of $225 million. Second quarter was a challenging one for tanker companies, but if anything that highlighted the merits of maintaining a balanced deployment strategy with the mix of time charter spot exposure. Our strategy continues to focus on short-term time charters, but we are also prepared to spot trade to trade spot as opportunities arise in order to maximize returns. During the quarter, we entered into for time charter renewals in which we saw to shortly time charter actuaries to place the next renewals into what we anticipate will be much stronger winter market conditions. We have also placed two of our recent acquisitions in the spot market in the Atlantic basin, with their performing very well under recovering market. Few of our vessels underwent drydockings in the period. The Seafarer completed its drydock on June 23rd and Seamaster on July 25th. For the second quarter, we are reported EBITDA of $5 million and a net profit of just under $100,000. Adjusting for certain non-cash overhead items, EBITDA $5.3 million and the net profit $400,000. If our fleet were fully delivered, we estimate that net income for the second quarter would have been approximate $3.5 million based on current charter rates or about $0.14 per share. Finally, we declared a cash dividend of $0.10 per share for the second quarter for annualized $0.40, with the yield of 3% at our current stock price. Turning to Slide 7, on acquisitions, as I mentioned, during the quarter we acquired three high quality MR tankers at attractive prices. Ardmore Endeavour is a 2013 built Korean Eco-Design MR, which we acquired at the end of May for $36 million. The vessel delivered to us in the Atlantic the end of June, affording us the opportunity to commence trading in a recovering spot market. The vessel is loaded ULSD in the U.S. Gulf and is on route to Europe for discharge. Ardmore Sealifter is a 2008 Japanese-built product tanker, which we acquired in June for $23 million and which was also delivered to us in the Atlantic basin in July and is now engaged in the spot market with just commencing for first loading in Venezuela for Europe with naphtha and gasoline parcels. The third vessel will be renamed Ardmore Sealeader and is expected to deliver in late August and the Far East. We are considering employment options at the moment. These acquisitions reflect a continuation of our measured and disciplined approach to building the business and they are accretive both, to earnings and NAV. It's is also worth highlighting at this point that the companies leveraged NAV and it is highly attractive relative to our peers with every $1 million increase in per vessel value across the fleet, resulting in just under $1 dollar increase in NAV per share. Turning next to Slide 8, our charter and strategy continues to focus on one year or shorter time charters. As mentioned earlier, the weakness in the spot market in the second quarter highlighted the merits of maintaining a balanced deployment strategy. For Ardmore, the chartering center of gravity is a one-year time charter, but we engage in shorter TC as well as cool employment in stock trading as we see opportunities to maximize returns. We continue to add high-quality names to our customer list and have commenced commercial relationships with Maersk Group and Trafigura in the second quarter. Our charters continue to value our approach with customer service and operational excellence. While the rates we are fixing are attractive, our customers are also benefiting significantly from our high fuel efficiency and commercial partnership approach, so it's a win-win. Looking to the third quarter, we expect to have 80% of our revenue days for the five Eco-Design MRs covered by time charter employment at an average rate of approximately 15,800 per day before profit share and 20% of revenue days employed in the spot market. With Eco-Mods, we expect to have 71% of revenue days for the first five vessels covered by time charter employment at an average rate of approximately 13,800 per day and 29% in the spot market. Three of the time charters renewed and second quarter are at monthly escalating rates, so the TC rate for the third quarter represents the low-end of these time charters and the subsequent quarter will benefit from correspondingly higher rates given that the average for the total charter period is $14,200. For the chemical tankers, we expect to have 33% of our revenue days covered by time charter at a rate of approximately 13,500 per day and 67% employed in the pool. We have achieved solid operating performance during the second quarter and look forward to managing our chartering portfolio to optimize returns as market conditions are anticipated to improve through the remainder of 2014. On Slide 9, we highlight the progress we are making with our new building program. Notably all of the ships are on schedule and our site teams are very pleased with shipyard performance and quality of work. In July, we held a naming ceremony in Japan for the first of our chemical tankers at Fukuoka, named the Ardmore Cherokee and scheduled to deliver in November this year. Our newbuilding program with Hyundai Mipo was also progressing well and we expect to take delivery of these two vessels in January. The remaining seven newbuildings delivered throughout 2015. Turning to Slide 12, the products tanker market, as mentioned earlier the spot market for product tankers extended its soft period from the first quarter into the second quarter, making very difficult conditions for ship owners and traders alike and particular in the Atlantic basin. While the MR market tends to be one of the more stable sectors, it's too a subject to volatility and this was evident in the second quarter as rates in the Atlantic basin fell sharply with TC2 declining to Worldscale 80 a TC14 at one point below Worldscale 70. During the period, the market in the Far East however remained more stable. Looking specifically at the Atlantic basin, the main reason for softness in rates was the steep decline in PADD 3 or U.S. Gulf refinery output, which resulted in a decline in U.S. product exports. In addition, cargo distances for exports were much shorter as oil refiners and traders opted for more profitable markets closer to home for what product they had export. As a consequence, the MRs were trading on shorter voyages with reduced volumes, a double hit on demand and result in decline in charter rates. During this time, LRs encroached on MR trade as well, due to lack of demand for the long-haul trades, which centers on naphtha movements. PADD 3 was initially consumed in the cold snap last winter and then refineries went into turnarounds that were deferred or delayed during the period of high domestic demand and restocking, plus there were some additional unscheduled outages. PADD 3 utilization for refineries bottomed out in June at 84%, and jumped back quickly, so it's now back up to 94.8%, which represents an incremental 900,000 barrels a day or close to one-third of the U.S. product export. As PADD 3 volumes ramp back up, long-haul MR trade to Europe has returned and rates have improved significantly in the last few weeks. TC14 recovered from Worldscale 70 to Worldscale 150 two weeks ago before settling in last week at 135. TC2 was initially hurt by the influx of Gulf tonnage. The TC14 ships coming in the U.S. Gulf, but it is also recovering and currently sits at Worldscale 95, which yields a TC2, TC14 triangulation TCE in the high teens or low-20s. Commodity market has remained steady through the period, with the TC11 TC4 combination earning in the mid-teens. The naphtha trade has also picked up and LR are returning to their core trade and evidently no longer putting pricing pressure on MRs. In addition, the new condensate export from the U.S. should draw MR and LR tonnage out of the Atlantic basin and should increase aggregate demand across the product sectors meaningfully, Eastern Suez beyond the Ramadan around now should agreed to increased refinery and trading activity in the region. We believe the spot market will remain choppy for another month or two then should be in a good position to fully recover this winter. In the meantime, there are patches of strength which will seek to exploit. Once the outlook becomes clearer for the spot market condition should also return to the TC market. The market conditions such as this though, operational performance and relationship continuity is the key to success. Looking to the medium-term, the outlook is still bullish. Refinery and product exports development continue to support demand for product tankers, driven by a number of factors. In addition, refineries are continuing to shutdown, new Worldscale refineries are coming on stream, so distances are increasing as our volumes move to sea and there is an increasing complexity of trade driven by regulatory changes. Underscoring this point, two large 400,000 barrel per day refineries are expected to come on stream in the Middle East by the end of the year. The Yanbu refinery in the Red Sea is expected to produce out of the 400,000 barrels per day around 250,000 barrels per day of diesel along with commodity chemicals such as benzene. Abu Dhabi's Ruwais 400,000 barrel per day refinery went to the testing May, and will be commissioned toward the end of the year. On the supply side MR order book at around 293 vessels, which is 17.3% of the fleet based on deadweight. From the 1st of January to the middle of July, 55 MRs thus far had, but 19 have also been scrapped and it's possible that number is higher due to reporting lack of scrapping activity, so this implies the net fleet growth continuing at around 3.5% as against the estimated 4% to 5% demand growth. Notably, new order so far this year in the MR sector have totaled 38, far less than deliveries, so the size of the MR order book is shrinking. It is also worth mentioning that many of these new orders are more chemical tankers and product in terms their intended trade and capability although they are still classified as MRs. Sale and purchase activity has been that low levels for the past several months, probably due to the softness in the spot market and the difficult market conditions for shipping equity issues. We still have dry powder and we will consider acquiring vessels in line with our strategy. During now to page 13, the chemical tanker market, commodity chemical tanker rates have remained steady in the second quarter despite the softness in the product tanker market. In the first half of the year, our chemical tankers have carried around 70% chemicals and Vegoils and about 30% CPP. Our first chemical tanker new build is expected deliver in November and we have considerable interest from charter for the ship. We are keeping our options open on employment, so we could look at TC, pool or direct stock market trading, depending on what looks to be the maximizing strategy for rates. Longer-term, the demand drivers for chemical tankers remain the same. Continuing U.S. petrochemical expansion driven by Shell gas, Middle East Gulf export growth and underlying demand, driven largely by emerging economies. The chemical tanker order book has expanded currently 133 ships, but remains relatively low at 11% of the world fleet by deadweight. The number of stainless orders are non-core shipyards that we should expect at least some delays given the complex nature of the ships and expertise required to build them. Overall, deliveries less scrapping or net fleet growth remains for the time being very muted at less than 2%. With that, I will hand the call back to Paul to discuss our financial results.
Paul Tivnan: Thanks, Tony. Starting with Slide 15, I will highlight our financial and time charter performance in the second quarter and also provide an update on financing in the period. The company's earnings continue to grow as we took delivery of three ships in the first quarter, which were in operation for the full period of the second quarter. Rates have improved year-on-year, albeit from some softness in the spot market during the period. Company's reported adjusted EBITDA of $5.3 million, which represents an increase of $2.4 million from the second quarter 2013. Revenue for the second quarter was $13.8 million, an increase of $5.5 million from the second quarter '13. Operating cost for Eco-Design vessels were $5,960 and operating cost for our Eco-Mod vessels were an average for both products and chemicals $6,704 per day in the first half of the year. Depreciation and amortization for the quarter was $2.9 million and we expect depreciation and amortization in the third quarter to be approximately $4.2 million. Corporate overhead costs were $1.9 million in the second quarter and we believe that our overhead cost is and will continue to be among the lowest of our peers. Our interest and finance costs were $1 million as compared to $1.4 million in the second quarter of last year. Interest and finance costs include capitalized interest related to newbuildings in the quarter of $900,000 and we expect the capitalized interest in the third quarter would be around $1 million. The above resulted in a net profit in the second quarter of $94,000 or around $0.005 per share. After adjusting for non-cash stock-based compensation the profit was $428,000 or just under $0.02 per share. Looking more closely at TC earnings on Slide 15, we will start with Eco-Design MRs on the right-hand-side. Company now has five Eco-Design MRs in operation, which earned an average of $15,859 per day in the second quarter. Ardmore Endeavour commensurate in the sport market at the end of June, and we expect our earnings from its first voyage to be in the mid-teens. Moving onto Eco-Mod MRs, on average for the second quarter the Eco-Mod MRs been $14,710 per day, which represents an increase of $1,000 a day over the same period last year. The Ardmore Sealifter delivered to us on July 22nd and we expect our earnings in the first voyage to be in the middle to high teens. Looking next to chemical, this market remained steady. On average the chemical tanker earned 11,206 per day, which is an increase of over $1,000 per day over the same period last year. In summary, we are pleased with our chartering performance. We have weathered the recent softness very well and the positioned to take advantage of an improving market. The company's chartering strategy ensures stability in earnings and maximizes return on invested capital. Looking next at our balance sheet on Slide 16, as of the end of June our total debt was $158 million as compared to total capital of $498 million, leaving our leverage at 32%. Our cash in hand was $66 million and after deducting the balance impairments for the Sealifter and Sealeader and adding data there following the facility agreed last week gives the company dry powder for further acquisitions. Turning now to Slide 17, on financing, as mentioned we have completed arrangements for financing our fourth fleet with exception of the Ardmore Seamariner and we expect our debt financing in place for that ship shortly. During the second quarter, we competed a $39 million facility with Credit Agricole for two chemical tanker newbuildings, and last week we signed documentation to increase our existing large facility by $53 million to $225 million for the three most recent second hand acquisitions. We continue to maintain financial flexibility and build our relationships with our excellent group of high-quality shipping banks. Now, turning to Slide 19, I would like to turn the call back to Tony for some closing comments before we open the lines for Q&A.
Anthony Gurnee: Thank you, Paul. In summary then, we achieved solid operating and financial performance for the quarter during which the company turned profitable. We have weathered a difficult two quarters impacted by weak charter market, but we believe the outlook is again positive and the market is showing big improvements in the Atlantic basin. Our balanced fleet deployment has ensured cash flow and earnings stability through this period and we have added some sport market exposure to the fleet as well. Our expansion fleet is now fully funded with just one secondhand vessel remaining to be financed and which should be completed short. We have taken advantage of this weak market period to acquire additional high-quality vessels at good prices. We have dry powder for further acquisitions, but with 24 ships in the water or on order, we don't feel compelled to do anything unless we see attractive opportunities. We remain as ever focused on building long-term shareholder value, which at the moment involves maximizing upside and market recovery. We continue to pay dividend of $0.10 per quarter, representing a yield of 3% at today's stock price. Thank you for your time. We are now pleased to open up the call for questions.
Operator: (Operator Instructions) We will take our first question from Jon Chappell of Evercore.
Jon Chappell - Evercore: Thanks. Good morning, guys.
Anthony Gurnee: Hi, Jon.
Jon Chappell - Evercore: Tony, I think by my count you guys used the term dry powder three times. Once the Seamariner is financed, what are you going to have from liquidity standpoint to acquire assets as opportunities present themselves and then kind of taking out to the next level if you could arrange financing at similar terms to what you have been able to for the three ships that you just purchased what could the total potential outlay be for the fleet expansion?
Anthony Gurnee: I also used the phrase recovery market seven times.
Jon Chappell - Evercore: I was just going to get to that...
Anthony Gurnee: Okay. Good, good. It's a good question, but I really don't want to get into specifics on what our plans are. We feel we are in a good position we have got a good amount of liquidity and we are financially well-positioned and we will continue to look for acquisition opportunities if we think they are attractive.
Jon Chappell - Evercore: Well, without giving your plan away, means, can you just give a broad idea of what the potential outlay could be? I mean, if we look at what you have spent in the last couple of months, I guess, $46 million, $36 million, so you spent a little over $80 million. I mean, do you have that much dry powder left? Do you have half of that? Just kind of ballpark what the potential spend could be?
Anthony Gurnee: I think it's a meaningful amount, but it's not enough to necessarily transform the company. As you know, we tend to be in a very patient client in picking up opportunities and I think you will continue to see us do that.
Jon Chappell - Evercore: All right, and just as the opportunities are concerned, we just spoke a couple of months ago about this at the Investor Day, but will the target still be on the water versus newbuilds? Then also MRs not because you are not optimistic on chemicals, look, because there is just really no ideal chemical candidates available?
Anthony Gurnee: Yes. I think our focus is still in the water. Those two ordering new. Although, there could be some attractive re-sell opportunities as well, but we would look to buy ships that are delivering fairly soon. In terms of chemical versus product, it continues to be the case that there are more attractive MR candidates than chemical, which the flipside of that highlights the attractiveness of the chemical sector in the United Sates, a more difficult market to build exposure in, and we like the outlook there, six of our next 10 newbuilding deliveries are chemical.
Jon Chappell - Evercore: All right. Just one more on the chartering strategy, seven months kind of a weird time horizon, I mean, are you picking that yourself because that kind of lines up perfectly with your outlook for the market recovery or is that something that basically the duration in the market today from charters?
Anthony Gurnee: They are not all precisely seven months. It's a variety, but that's the average of what we have done, so we do have a very clear view that the market should strengthen and recover this winter, so rather than rolling ship for a year and into next summer, we thought it would be good to optimize by putting them into the winter for renewal.
Jon Chappell - Evercore: Great. Okay. That make sense. Thanks a lot, Tony.
Operator: We will take our next question from Doug Mavrinac of Jefferies.
Doug Mavrinac - Jefferies: Great. Thanks, operator. Good afternoon, guys. I just had a handful of follow-up questions, with the first being on that market recovery theme. Tony, in your commentary you talked about how the LR markets were really starting to gain from traction here and over last couple of weeks we have seen some pretty big gains in each of those markets. My first question is, to the extended that some of those gains were sustainable, as an MR operator, and how will that affect your business? I mean, will it be just LRs will be competing as much or will there be some trickle-down demand. How do you see the strength in the LR markets affecting you guys if that all?
Anthony Gurnee: I think on the margin, it pulls tonnage out of competition for MRs, because the rate is loan upon LR1 or LR2, then the voyage economic make sense for traders to use them instead. I think that was definitely happening in the second quarter earlier on.
Doug Mavrinac - Jefferies: Got it.
Anthony Gurnee: Now that the demand for LRs in their own kind of core long-haul trades has rebounded as well, there are being [sacked] out, so they are not as much of a factor right now.
Douglas Mavrinac - Jefferies: Right. Got you. Thanks. Then part B of the market of the market same question is that, that being the case and obviously you pointed out I think a big issue in the MR market in 2Q and how we have seen a rebound with [refining] the capacity in 3Q. I guess it wouldn't be too much of a stretch to think that you know if that happened in LR market, US exports coming back in the MR market, then the other next several months should be good. I mean, that's too much of a stretch would you say?
Anthony Gurnee: It's kind of like; the strength is really emanated initially from one spot, which is U.S. Gulf. It might just take while for that to spread out more broadly to [tonnage] in the Atlantic Basin then spread into East as well, but yes definitely the case. I think also can't underestimate the potential impact of the new condensate export.
Doug Mavrinac - Jefferies: Right.
Anthony Gurnee: It seems like most of it has LR1s, but could be some MR and in that case that will reduce that kind of marginal competition as well.
Doug Mavrinac - Jefferies: Got you. Got you, guys. Thank you for that. Tony, then second question was one A and one B. Second question is about charters' appetite. You Jon touched on it a bit ago, but asking it in a different way, are you guys seeing an increase in appetite from charters to secure charters? I mean, do they recognize that rates are pretty low right now and about to increase? If so, what does that divergence and interest on the charter side tell you compared to where the spot rates may be?
Anthony Gurnee: I think, (Inaudible) still a little bit cautious, but also they are very opportunistic at the moment, so if they can find good shifts at lower charter rates, you know, that's what they are going after right now. Typically, they like to be able to envision an initial voyage with the ship they take on TC is profitable.
Doug Mavrinac - Jefferies: Right.
Anthony Gurnee: Then they kind of [there], so I think that opportunity is coming back, but at the same time you still have owners that are willing to accept lower levels than perhaps they should simply get covered.
Doug Mavrinac - Jefferies: Right. Got you.
Anthony Gurnee: It will take while for that to work out as well.
Doug Mavrinac - Jefferies: Okay. Great. Thank you. Then just final question and I was going to ask about your growth strategy going forward now that you have kind of digested or about the digesting last to leverage your secondhand acquisition and financings in place sounds like good stuff. I and I get that you guys don't want to kind of show your hands. I will ask maybe a little bit of a different question, but in kind of the same context and that is in terms of your growth and how that has balanced against what you are going to do with the cash that you are going to be generating, because as your feet has delivered and as you mentioned you are going to be generating a lot of income and a lot of cash. How do you think about balancing that growth with what your dividend could be because, because it's already attractive in terms of quarter, what are your thoughts about the balance of those two and then kind of where we are on the cycle with that just kind of with that as a backdrop.
Anthony Gurnee: That was an excellent question and that's something we will just have to kind of debate and decide on as we go forward, so we always thought that we will continue to monitor the dividend policy and as the fleet delivers and market conditions dictate, we would consider increasing it, but only to level that we feel would be sustainable on a long-term basis, so that's one factor. In terms of further acquisitions with retained cash or with internally generated cash, we will it really depends on where we are on the cycle.
Doug Mavrinac - Jefferies: All right.
Anthony Gurnee: If we feel that we are moving out of the bottom-third into the middle-third or even the top-third, we are not necessarily going to be chasing ships at high prices.
Doug Mavrinac - Jefferies: Right.
Anthony Gurnee: Again, a question of what do with the cash that's building on the balance sheet, but that's probably the biggest challenge in our business is finding the condition and the resources to buy at the right time and finding the discipline and integrity to do the right thing with the cash in the strong market.
Doug Mavrinac - Jefferies: Right. Got you. That's all. Very helpful. Thanks for the time, Tony.
Anthony Gurnee: Thanks.
Operator: We will take our next question from Noah Parquette of Canaccord.
Noah Parquette - Canaccord: Thanks. A lot of my questions have been answered, but I guess can you just give us some more of your thought process on chartering the chemical tanker ships as they are delivered over the next year or so.
Anthony Gurnee: We are really looking. We are spending a lot of time all potential candidates for as partners or charter or managers whatever, so we are looking at a broad range of alternatives and it really literally spans the gamut from you TC to pool to spot trading to joint venturing et cetera on a commercial basis. We the ships are highly attractive. Not only are they very flexible from a chemical commercial standpoint, but they are really among the first Eco-Design chemical tankers coming out, so they are going to be significantly more fuel-efficient than the competition they face when they come into the market. We are excited about the ships and we think they are going to do very well. I think we will probably you know we tend to you start cautiously and building risk once we get comfortable with things operationally and we will probably take the same approach on this as well.
Noah Parquette - Canaccord: You touched on it, but is there any more color you can give on the condensate export ruling and how reflect MRs. I know it's been on LRs so far, but.
Anthony Gurnee: I mean, it's interesting one. We don't really have a sense of the volumes yet, but we are kind of reading everything we can on that. So far it seems like the focus is on LR1s, I guess we could go through the Panama Canal to Korea, which seems to be the big destination, because they are going to use it for basically for basically for petrochemical manufacturing since most of it is naphtha. Either indirectly it will benefit, because it will our ones out of competition where it exists and maybe draw some MRs into might even be other LR-type business, but also I could envision a lot of it, some of it any way moving on MRs, because it's a very flexible side, it depends to a degree on kind of lot sizes as much as anything else.
Noah Parquette - Canaccord: Okay. That's very helpful. Thank you.
Operator:
Operator: (Operator Instructions) We will take our next question from Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis - Morgan Stanley: Yes. Good morning, Tony, and thank you. You mentioned that the market is improving in the second half of the year. We saw the first that was very quiet weak. How do you see the sell and purchase market developing going forward? Are you afraid that there are going to be more demand for acquisitions from the overall market that could push the price higher or the weakness of the other shipping sectors might keep prices at attractive levels?
Anthony Gurnee: I think, it's probably those will both factor into what happened. Obviously if the spot market and then the TC market strengthens, there will be increased interest and willingness to pay out and that could quickly add a $200 couple per ship in value. In terms of other sectors, obviously, if the rest of the world shipping is weak then it probably tends to keep it down - the top of the appetite of buyers that have next fleets, but we will just have to wait and see how it plays out. We would anticipate that everything else being equal, as charter rates improve vessel value should improve as well.
Fotis Giannakoulis - Morgan Stanley: Where do you see the value of five-year old MR product tanker right now?
Anthony Gurnee: I mean, that depends on the spec and et cetera, but kind of mid-20s, yes, mid to high 20s.
Fotis Giannakoulis - Morgan Stanley: Okay. Thank you. Regarding the improvement that we have seen lately, what have been the main drivers over the recent gains in rates? Going forward, your presentation, you are talking about $293 MRs, where do you expect that these vessels will be deployed, which trade lanes are going to be absorbing these vessels? Is it the U.S. exports or more of a Middle Eastern and Asian refineries and where this volume is going to go to?
Anthony Gurnee: The first question was on the increase in demand.
Fotis Giannakoulis - Morgan Stanley: Yes. If you can explain which trade lanes they are going to develop and how will this kind of order book going to be absorbed.
Anthony Gurnee: Okay. Yes, I mean, specific, we think that the increase in demand is coming out of the U.S. Gulf. Now that you know the refinery output has recovered and it is heading on relatively longer distance that was a sharp bounce back and that's kind of gotten the market back to perhaps where it should have been or will get it there pretty quickly. Then in the Middle East, you got these new refineries coming on stream, The Red Sea product coming out of Yanbu could very well find a home in the northern Europe. That's a lot of diesel and that's actually almost the same voyage length as it is from the U.S. Gulf to Europe, so one versus the other is going to have a big impact on ton mile, so it's really a big once you get beyond a couple of specific things. It's just the ongoing process of old refineries closing down, new refineries coming on, complexity increasing and the trade et cetera. You remember that the graphic we showed a couple of times in the past, showing where MR is traded currently and it's literally all around the world, so you can rely all the new ships coming out to be deployed virtually everywhere. Now they are going to start in the Far East, but they worked the way West with [Cargill] to the West Coast with palm oil to Europe et cetera and they will work from there, but you we think that Eastern Suez is also growing market and a lot of them might stay there as well. Apparently the Eco-Designs do very well on the Korea, Japan runs down to Australia, because it's relatively long trade. They can really -, so I think one point to make is that generally speaking you are going to find the Eco-Designs settling into long-haul runs where they can get the most benefit from the fuel efficiency.
Fotis Giannakoulis - Morgan Stanley: This long-haul as you were talking about MR vessels, or this is going to be more an LR trade and what exactly is going to be the difference between LRs and MRs both, in rate, but also in terms of trading. Are there are any specific rules that they are more suitable for one versus the other?
Anthony Gurnee: Yes. I mean, long-haul for MRs means U.S. Gulf to Europe or U.S. Gulf to West Africa or Europe down to West Africa or Korea, Japan down to Australia. Those are relatively long runs. For LRs, the classic run for an LR is naphtha AG/East, which is a very long trade up to Korea, Japan. There is also naphtha that runs from Northern Europe. That's the Far East, so they are obviously engaging and they are better suited to engage in much longer haul trades than what we would consider long-haul for MRs and that's where you will see them settling in.
Fotis Giannakoulis - Morgan Stanley: Thank you, Tony. One last question about this agreement that you have with Vitol, if I remember well about having some vessels in their pool, how does this cooperation is developing and are there any discussions of potentially expanding this cooperation as especially now that some of you have more vessels available?
Anthony Gurnee: Yes. We have two ships on TC, to Vitol at the moment. Then four MRs delivering next year will go into the commercial pool with Vitol, so have a total of six. We continue to have close dialogue with them and look at opportunities together.
Fotis Giannakoulis - Morgan Stanley: At the moment the new ships that you recently acquired you are operating on your own? What is the commercial strategy for these ships?
Anthony Gurnee: Yes. We will start trading them o opportunistically using another operation for commercial management.
Fotis Giannakoulis - Morgan Stanley: Okay. Thank you very much, Tony.
Anthony Gurnee: You are welcome.
Operator: At this time, there are no more questions. This concludes the Ardmore Shipping Corporation conference call. Thank you and have a nice day.